Operator: Good day, and welcome to the Prosperity Bancshares Second Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today’s presentation there will be an opportunity to ask questions. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Charlotte Rasche. Please go ahead.
Charlotte Rasche: Thank you. Good morning, ladies and gentlemen, and welcome to Prosperity Bancshares' second quarter 2022 earnings conference call. This call is being broadcast live over the Internet at prosperitybankusa.com and will be available for replay for the next few weeks. I'm Charlotte Rasche, Executive Vice President and General Counsel of Prosperity Bancshares. And here with me today is David Zalman, Senior Chairman and Chief Executive Officer; H.E. Tim Timanus, Jr., Chairman; Asylbek Osmonov, Chief Financial Officer; Eddie Safady, Vice Chairman; Kevin Hanigan, President and Chief Operating Officer; Randy Hester, Chief Lending Officer; Merle Karnes, Chief Credit Officer; Mays Davenport, Director of Corporate Strategy; and Bob Dowdell, Executive Vice President. David Zalman will lead off with a review of the highlights for the recent quarter. He will be followed by Asylbek Osmonov, who will review some of our recent financial statistics and Tim Timanus, who will discuss our lending activities, including asset quality. Finally, we will open the call for questions. During the call, interested parties may participate live by following the instructions that will be provided by our call operator. Before we begin, let me make the usual disclaimers. Certain of the matters discussed in this presentation may constitute forward-looking statements for the purposes of the federal securities laws, and as such, may involve known and unknown risks, uncertainties and other factors, which may cause the actual results or performance of Prosperity Bancshares to be materially different from future results or performance expressed or implied by such forward-looking statements. Additional information concerning factors that could cause actual results to be materially different than those in the forward-looking statements can be found in Prosperity Bancshares' filings with the Securities and Exchange Commission, including Forms 10-Q and 10-K and other reports and statements we have filed with the SEC. All forward-looking statements are expressly qualified in their entirety by these cautionary statements. Now let me turn the call over to David Zalman.
David Zalman: Thank you, Charlotte. I would like to welcome and thank everyone listening to our second quarter 2022 conference call. With the second quarter of 2022 Prosperity had strong earnings, core loan growth, continue sound asset quality, impressive cost controls and return on average changeable common equity of 15.7%. We are optimistic about our company, which is evidence by our repurchases of 981,000 shares of our stock during the second quarter. With regard to earnings on our linked quarter basis, our net income was $128 million for the three months ended June 30, 2022. And that's compared with the $122 million for the three months ended March 31, 2022, an increase of $6.2 or 5% Our net income for dilutive common share was a $1.40 for the three months ended June 30, 2022 compared with the $1.33 for the three months ended March 2022. Our annualized return on average assets for the three months ended June 30, 2022 were 1.36%, and the annualized return on average tangible common equity for the three months ending June 30, 2022, again was 15.7%. With regard to loans, loans on June 30, 2022, were $18.2 billion, a decrease of $1 billion, or 5.4%, compared with $19 billion on June 30, 2021, primarily due to decreases in warehouse purchase program, PPP loans, and structured commercial real estate loans. Excluding the warehouse purchase program and the PPP loans, loans on June 30, 2022 were $17 billion compared to $16.4 billion on June 30, 2021, an increase of $667 million or 4.1%. Our linked quarter loans, excluding warehouse purchase program, and PPP loans, increased $406 million or 2.4%, 9.8% annualized. Bottom line, excluding the warehouse purchase program loans and the PPP loans, we saw like 4.1% growth year-over-year and a 9.8% annualized growth quarter-over-quarter. Our deposits on June 30, 2022 were $29.9 billion, an increase of $755 million, or 2.6%, compared with the $29.1 billion on June 30, 2021. Our linked quarter deposits decreased $1.2 billion, or 3.9% from $31.1 billion on March 31, 2022. The decrease in deposits was primarily due to seasonality. As previously mentioned, we have over 500 municipal customers, such as cities, schools and counties that use the tax dollars they receive in December and January throughout the year, resulting in declining account balances in the second and third quarters of the year. Also contributing to the decrease was our public fund customers, moving their investment funds to other places now offering higher rates that were not available to these customers before the recent interest rate increases. With regard to asset quality, our non-performing assets totaled $22 million or seven basis points of quarterly average interest earning assets on June 30, 2022. And that was compared with $33 million or 11 basis points of quarterly average interest earning assets on June 30, 2021, a 34% Decrease in non-performing assets. The allowance for credit losses on loans and off balance sheet credit exposure was $313 million on June 30, 2022. With regard to acquisitions, we continue to have conversations with bankers considering opportunities. We believe that higher technology costs, salary increases loan competition, funding costs, succession planning concerns, and increased regulatory burden are point to continued consolidation. With regard to the economy in overall, Texas and Oklahoma continue to shine as more people and companies move to the space. For example, according to CNBC, Texas added more jobs over the last year than the 25 lowest job growth states combined. Farther, during the last year, the Dallas Fort Worth area added 295,000 jobs, three times its annual average annual growth and the Houston area add 185,000 jobs, unemployment remains unusually low. Prosperity continues to focus on building core customer relationships, maintaining sound asset quality, and operating the bank in an efficient manner, while investing in ever changing technology and product distribution channels. We continue to grow the company both organically and through mergers and acquisitions. I want to thank everyone in our company for helping them make it the success that has become. Thanks again for your support of our company. Let me turn over our discussion to Asylbek Osmonov, our Chief Financial Officer to discuss some of the specific financial results we achieve. Asylbek?
Asylbek Osmonov: Thank you, Mr. Zalman. Good morning everyone. Net interest income before provision for credit losses for the three months ended June 30, 2022 was $248.5 million, compared to $245.4 million for the same period in 2021, an increase of $3.1 million or 1.3%. The current quarter net interest income includes fair value alone income of $59,000, compared to $12.2 million for the same period in 2021, a decrease of $12.1 million. The current quarter also includes PPP loan fee income of $2.3 million compared to $10.3 million for the same period in 2021, a decrease of $8 million. However, interest income on securities for the second quarter of 2022 increased $20.4 million and interest expense decreased $6.1 million, compared to the same period in 2021. Due to the asset sensitive position of the balance sheet, we are seeing a benefit of increased rates and believe that the expected additional rate increases will benefit the net interest income in the long term as assets reprice. Further, at the end of the second quarter, we increase rates on our deposit. We expect the full impact of this increases on the third quarter interest expense. In summary, for the third quarter, we anticipate that net interest income will continue to improve. The net interest margin on a tax equivalent basis was 2.97% for the three months ended June 30, 2022, compared to 3.11% for the same period in 2021 and 2.88% for the quarter ended March 31, 2022. The decrease in net interest margin year-over-year was primarily due to lower fair value loan income and PPP loan fees. Excluding purchase accounting adjustments, the net interest margin for the quarter ended June 30, 2022 was 2.97%, compared to 2.96% for the same period in 2021, and 2.81% for the quarter ended March 31, 2022. Non-interest income was $37.6 million for the three months ended June 30, 2022, compared to $35.6 million for the same period in 2021, and $35.1 million for the quarter ended March 31, 2022. Non-interest expense for the three months ended June 30, 2022 was $122.9 million compared to $115.2 million for the same period in 2021 and $119.9 million for the quarter ended March 31, 2022. The increase in salary and benefits is primarily due to the annual merit increases in the second quarter 2022, and higher discretionary incentives. For the third quarter 2022, we expect non-interest expense to be in the range of $120 million to $122 million. The efficiency ratio was 43.1% for the three months ended June 30, 2022, compared to 41% for the same period in 2021 and 43.7% for the three months ended March 31, 2022. During the second quarter 2022, we recognize 69,000 in fair value loan income. As of June 30, 2022, the remaining discount balance is $7.7 million. Due to low remaining discount balance, we estimate that accretion income for next few quarters to be around $1 million. Also during the second quarter of 2022, we recognize $2.3 million in PPP fee income. As of June 30, 2022, PPP loans had a remaining deferred fee balance of $1.6 million. So, we don't expect PPP fee income of any significance going forward as the PPP forgiveness winds down. The bond portfolio metrics at 6.30.2022 showed a weighted average life of 5.4 years and projected annual cash flows of approximately $2.2 billion. And with that, let me turn over the presentation to Tim Timanus for some details on loans and asset quality. Tim?
Tim Timanus: Thank you, Asylbek. Our non-performing assets at quarter end June 30, 2022, total $22,187,000 or 12 basis points of loans and other real estate, compared to $27,184,000 or 15 basis points at March 31, 2022. This represents approximately an 18% decrease, and non-performing assets on a length quarter basis. The June 30, 2022 non-performing asset total was made up of $20,632,000 in loans, $0 in repossessed assets, and $1,555,000 and other real estate. Of the $22,187,000 and non-performing assets, only $669,000 are energy credits. Net charge-offs for the three months ended June 30 2022 were $1,204,000 compared to $1,217,000 for the quarter ended March 31, 2022. No dollars were added to the allowance for credit losses during the quarter ended June 30, 2022. nor were any taken into income from the allowance. The average monthly new loan production for the quarter ended June 30, 2022 was $674 million. Loans outstanding at June 30, 2022 were approximately $18.2 billion, which includes $27.6 million in PPP loans. The June 30, 2022 loan total is made up of 40% fixed rate loans, 33% floating rate loans and 27% variable rate loans. Charlotte, I'll now turn it over to you.
Charlotte Rasche: Thank you, Tim. At this time, we'll we are prepared to answer your questions. Anthony, can you please assist us with questions?
Operator: We will now begin the question and answer session. [Operator Instructions]. Our first question will come from Jennifer Demba with Truist Securities. You may not go ahead.
Jennifer Demba: Thank you. Good morning.
David Zalman: Good morning, Jennifer.
Jennifer Demba: Question on provision, you guys haven't had a provision for the past several quarters. Just wondering what the outlook there is. I know you probably think losses are going to remain pretty low. But just wondering how you look at provision versus maybe a more challenging economic outlook?
David Zalman: Jennifer, I'll start off. This is David. I mean, I think it's pretty simple math. I mean, you have $22 million in non-performing and $300 million in reserves. So, that's about a 14 times coverage. So, that may be better than anybody in the industry may be. So, I don't see unless we see something dramatically change in the immediate future really increasing that really.
Tim Timanus: I would say that, obviously, we have to make some hopefully reasonable projections about economic issues going forward. And there's a lot of talk about recessionary activity. Maybe that'll come to pass, maybe it won't. But we have to take that into consideration, just like we did the issues during the period of COVID. We're past that now. It could come back, I guess. But right now, there's some level of concern about recessionary activity. To what extent that affects Texas and Oklahoma? We'll see. So far, both states are doing great. Really?
Asylbek Osmonov: Yes. I think some people could say, other people might take the position that you have too much in there. But again, not knowing what's on the horizon. And I feel comfortable where we're at, very comfortable where we're at.
Tim Timanus: Yes. I mean, we have a model that takes into consideration. Basically everything I just said, and it indicates that we are where we should be. So, I don't envision any big change one way or the other anytime soon.
David Zalman: Kevin, you have any thoughts on it, are you?
Kevin Hanigan: No. I was going to say we went from concerns about COVID, concerns about recession. We've factored in at the end of the quarter the possibility of a recession and recessionary impacts on our portfolio in deriving the overall number, which is well over $300 million, and the percent, which is 1.67 [ph], 1.670. So, any recessionary impact that we have contemplated is baked into the model at the end of the quarter.
Jennifer Demba: Okay. Thank you. And my second question is on loan growth. Can you just talk about your times [ph] and what you're seeing now and what you think is possible for 2022, excluding and including the mortgage warehouse?
Asylbek Osmonov: Well, let me start off. This quarter ended June 30, was the best quarter in terms of three months of loan growth that we've ever had. The $674 million compares very well with the first quarter of this year, which was $632 million. The average for all of 2021 was $621 million. And it culminated with very good number for the month of June. We did over $824 million in the month of June, just that one month. So, our long committee activity since the end of June has been robust. As mentioned just a minute ago, the economies in Texas and Oklahoma appear to be very strong so far. So, I think there's a good chance. We're going to see excellent long growth going forward.
Kevin Hanigan: Jennifer, this is Kevin. Just a little inside baseball on the quarter. It started off, and I think we talked to some of you early in the quarter. The quarter started off, we were $126 million in the hole late in the month of April. And so we had a relatively big hole to dig out of. That was a couple of large multifamily projects that paid off early in the quarter. We obviously rebounded from that. And going into the last week of the quarter, we were up over $500 million in that neighborhood. And we got, gosh, I think two or three days before quarter end, $104 million structured CRE deal paid off, paid off early, and we got a nice prepayment fee out of that thing. But -- and we still ended up with pretty good loan growth. This quarter started off better. We didn't start off in a big hole. And we're tracking along pretty fine. I would say, we would -- as a company, we're probably going to stick with for the year, the 5%, mid single-digit kind of loan growth for the year. First quarter, we didn't have much of anything. Second quarter was pretty good. This quarter is feeling pretty good. As Tim said, loan committee activity has been very strong. I think last quarter, we talked about the hiring the corporate banking group down here in Houston. We've hired out a team and those guys have done better than we even expected and we had high expectations of them. So, we're feeling pretty good about loan growth, achieving that mid single digits for the year.
Jennifer Demba: Thanks.
Operator: Our next question will come from Brett Rabatin with Hovde Group. You may now go ahead.
Brett Rabatin: Hey, good morning, everyone.
David Zalman: Good morning.
Brett Rabatin: You talk about deposits, and you mentioned the municipal deposits being some of the source of the decline linked quarter. I was hoping you could just talk about those deposits specifically and the decline. Was that just due to lower balances with those customers? Or did you elect to not be as competitive on bids or maybe a little more color on those deposits specifically?
David Zalman: Brett, this is David. If you've been following us for a long time, historically, just the seasonality, we would always lose a certain amount of deposits in the second quarter and the third quarter, because we have -- as I mentioned in my -- if you read, we get a lot of these municipalities which are made up of cities, schools, municipalities, counties and stuff. They get their tax dollars at the end of the year, the first of the year, and then they use it and usually the summer time for the third quarter is the lowest that they had. So technically we always have a run on those deposits, because they used them. I would say this time, with $1.2 billion, we really were thinking more, it was like five or $600 million, that would probably be down in that category. However, what we did see is when rates were so low, we usually have the operating accounts of these municipalities. And their investment funds are usually kept somewhere else. But when rates had been so low, they had kept not only their operating accounts, more of their investment accounts with us. So, as they were able to go out and start getting 1.5% or 1.6%, that's what you probably saw the other five or $600 million go not just to the use of funds, but because I could get better investments. But again, I think this is a seasonality type of deal combined with the amount of best investment funds what we normally didn't have. We usually just have their operating accounts. And really, when you look at it -- when you look at our deposits overall, less than municipal deposits, or basically I think our deposits year-to-date have really grown a little over 2%. So, from that standpoint, we knew it was coming in with just more in the municipal side. I don't know if that adds any enough color or not, but somebody else may want to jump in?
Asylbek Osmonov: Well, what you said is exactly correct. If you look historically, what happened this quarter is very normal. It happens all the time.
David Zalman: Every year. Except for the last previous two years where rates were just -- we were just covered up with deposits from stimulus money.
Asylbek Osmonov: Well, that's right. And as low as our rates were during that period of time, they were still better than what commercial rates were outside of banking. So, virtually all these public entities left much more of their money with us during that period of time than they historically have done. They're still our customers. As David said, we typically have the operating accounts in that part of their business. So that hasn't changed. This is really something that's normal,
David Zalman: I think was probably a little bit that you can't see it, because this happens every year. But you probably didn't see it the last couple of years, because so many deposits were flowing into the banks, it was camouflaged from the stimulus deposits, and all that, but again, if you pulled out the last two years and went back, you would see that this is really, a really normal occurrence really for us.
David Zalman: Not that when we look at the deposit. But that means stripping out our deposit franchise, but non- public fund side of things, we did pretty darn well. So this was isolated to the public funds side, I think just in non-interest bearing, demand deposits to loans grew $255 million for the quarter. So that's the annualized linked quarter, 9.5%. So, I think that's not the public funds, this a core competency of ours, but our non-public fund deposits are holding up really well.
Brett Rabatin: Okay. That's great color. I figured a lot, but it was just the seasonality from taxes and whatnot, but just wanted to do a little better understanding on that. And then secondly, it looks like you did that a little bit to the securities portfolio this quarter. Just curious on the bond portfolio, adds, what you added at what rates and what do you think the yield on that portfolio might do? I don't know what the premium amortization was this quarter, but I was just hoping for a little more color on that?
David Zalman: I'll start off, then somebody else would probably jump in. But, again, obviously, what we're getting on securities is much better than we were three or four months ago. I mean, I think right now, we had -- probably a quarter before, the quarter before that, we were probably on our investment securities and probably getting about 1.25% today when we're buying something. That's like a week ago or two weeks ago was probably 3.8. Then I think right now despite dropped in the 3.6 [ph] is that's what something where we bought [Indiscernible] something like 3.7. So that's kind of the yield that we're getting right now. And so, much better and I think that will continue.
Asylbek Osmonov: Yes. To add a little bit on that, because we had a little bit of a liquidity in the end of the first quarter we utilize that liquidity to buy up some bonds at a higher rate. That's why you see the improvement on the yield. But as you look at our bond portfolio in big picture, as I mentioned earlier that we have about $2.2 billion of annualized cash flow from the bond portfolio. So that sets up pretty well for us to reprice those that what we just discussed, 3.6% or 3.7%. So its going to be very beneficial for us from that standpoint. On the second part of your question, I think you asked about, premium amortization is slowing down and we can see it. So in the second quarter, we saw our premium amortization was $11.5 million. If we're projecting for the third quarter, I think premium amortization going to come down a little bit more. We're estimating to be around $10.5 million, assuming the balances of the bond portfolio stays as is. And I think the plan right now to keep the bond portfolio balance, what we saw on the second quarter.
Tim Timanus: And Asylbek, I would add to that, that our average rate for this prior quarter on the securities portfolio was 1.72%. And we appear to be at a period right now where we can invest between 3.6% and 3.8%. And that clarity seems to be going up, not down. So, I think we're going to consistently see an increase in the rate of return of the securities portfolio, probably for at least a year.
David Zalman: That's easy math, two percentage from 14, 15 billion.
Asylbek Osmonov: It's fairly easy. It looks favorable going forward at least.
David Zalman: Correct.
Brett Rabatin: That's great color. One last one, if I could. Given all that you just said, a lot of people are expecting a little higher deposit betas. But it would almost seem like your margin expansion could even be a little higher than it was in the second going forward. Is that a fair assumption you think or deposit betas catch up and off is, that's not the case?
David Zalman: So, we do our own modeling. And I'd have to say when we do our modeling, it looks extremely good. Again, I'd always been cautious, though, because the flies in the ointment, you never know when something could happen. But I mean, just doing the modeling, it looks very favorable for us.
Asylbek Osmonov: Yes. And just to add a little bit more color, if you're just looking at big picture of the margin or net interest income, you have to just kind of look at the parts what we have in our balance sheet. So we discussed about bond portfolio being repriced, $2.2 billion getting repriced. Our loan growth will definitely help specially putting the loans at higher yielding loans that we had a few months ago, that's going to help. But you right, I think that deposit rate increase we did in the second quarter will have very minimal impact on the second quarter. But we'll see that the impact of that deposit increase in the third quarter. But overall, if you're looking at, we're going to still see increase in net interest, income and margin in the third quarter, but it might be a little bit less than what we saw, second quarter just because of the impact of the deposits.
David Zalman: Yes. I will use the story of the Queen Mary, I hate to keep bringing it up. But it's like trying to turn the Queen Mary around in our parking lot right outside. I mean, where a lot of the other banks saw a real big net interest margin increases, the interest rates went up. They're probably more floating in ours. It takes us a time to turn the ship around. But the captain has told me, it's going in the right direction and looking really good.
Brett Rabatin: Okay. That's a great color and congrats on the loan growth.
Operator: Our next question will come from Brady Gailey with KBW. You may now go ahead.
Brady Gailey: Hey, thanks. Good morning guys.
David Zalman: Good morning.
Brady Gailey: I just had a big picture question on capital levels. Capital just continues to grow quarter after quarter. So I mean, absent any sort of M&A that will help deploy that. What do you do with the excess capital? Do you let it just keep growing? I mean, your deposit payout ratio is still pretty conservative at around 35%. Do you think about more aggressively increasing the dividend? Just had it? How do you think about this growing pile of excess capital?
David Zalman: The first question is, there will be M&A. We will -- some of that money will be used in that. It just going to be for the right thing. And then secondly, I would say that you saw us pickup almost 900, and I don't have it in front of me. 900 and something million shares. So I thought that it was really showing that we felt that our stock, we really undervalued. And I think our average price was 67 or something like that. So, we were really fine with that. So I think that you'll see us if our price becomes -- if our stock price becomes undervalued, again, we'll really jump into there, and we'll do that. And I think that we've consistently increased our dividends for the -- I forgot how long. But I don't see it being any different that you'll probably see some increase in dividends going forward this year. Of course, that's important decision. And we intend to continue growing the assets of the bank. So I think that you'll use it for the growth of the bank organically and through M&A you'll probably see increased dividends and you'll probably see us even higher stock back if it becomes undervalued. It's a little of everything, little of everything, yes. And it's a high class problem let me say that.
Brady Gailey: Great. And David on the M&A comment, it seems like from the banks on their earnings calls this quarter, it seems like M&A dialogue has really slowed here just with economic uncertainty out there. I know Prosperity's M&A model is sometimes a little different than peers. Would you say you're still actively engaged in M&A? And is M&A still a possibility for you guys near term?
David Zalman: I would say for us it's been more activist quarter than probably the previous quarter. I think we've had a pretty active quarter in talking to different banks.
Brady Gailey: And maybe just update us size wise, what targets are you interested in? And I know, your top focus is there in the state of Texas. But what other geographies would you potentially be interested in?
David Zalman: Again, I think you said it, we're primarily first focused in the state of Texas and Oklahoma, because that's where we're at right now. And that would be our first focus. Having said that, we've had bank from out of state, that's really we've talked about. And then we had several banks within the state of Texas also. But I think that, again, I mentioned, we'll probably do banks of a smaller size that are within our markets, like if they're in the Dallas, Houston, Austin, a different -- wherever we're at, we'll probably look at and would be willing to do a smaller size. If we go to another state, the bank, where we go, we wouldn't do it unless we think we could really be in the top five and that's in assets and deposits. So, that's just our general rule of thumb.
Brady Gailey: And then finally for me just, I know you're the mark-to-market on your bond portfolio doesn't happen for you guys. Because all your stuff is held to maturity. What's the unrealized loss up to on that held-to-maturity portfolio as a quarter end?
David Zalman: Thinking after Texas, what it might be -- I want to credit about a million or $1.1 billion.
Brady Gailey: Yes, I'm sorry. I think we'll do we're going to put it in our queue, it's going to show $1.4 billion. 
David Zalman: That's before tax.
Brady Gailey: That's before tax, yes.
David Zalman: The tax deferred asset would be about 1.1.
Brady Gailey: Yes. So, but I talked to our treasurer people, and they said there was so much improvement last few weeks. So yes. That I think 1.4 was the highest we got. But it's so much better now, like a million.
David Zalman: It's probably better because the tenure has come down. And on the other hand, that unrealized loss that bothered me, I'd rather that tenure go up, because the future earnings are so much better for the bank, didn't worry about that aspect of the unrealized. We get our money back in very short term. I think our duration, and I hope portfolio is only four years. So we start seeing results in a reasonable period of time. So, I'd still like to see, even our portfolio dollars may improve, I still would rather see the tenure go up, quite frankly. And it's important to say that historically, it's never been a problem. We've never had to sell any securities out of our portfolio. That's the past futures. Now, whatever it is, I don't have the numbers in front of me. But we got to be the most liquid bank around. I think we have the ability to -- the amount of the $2.2 billion, it comes off our portfolio, I think, probably $4 billion or $5 billion of our loans get repriced and we can borrow 10 or 15 billion any day at the Federal Home Loan money. So like I said before, we'll be eating beans and food [ph] before we're unable to have a liquidity issue.
Brady Gailey: Great. Thanks for the call, guys.
Operator: Our next question will come from Brad Milsaps with Piper Sandler. You may now go ahead.
Brad Milsaps: Hey, good morning, guys.
David Zalman: Good morning, Brad.
Brad Milsaps: I said that, I was curious just to follow up on the margin discussion, if you might have were sort of spot loan and deposit rates were at June 30, kind of relative to where the average was for the quarter?
Asylbek Osmonov: So, if you look at the -- I mean, if you look at our deposits, cost of deposit was 11 basis points end of the -- for the quarter, and the loans were at -- for loan held for investment as 435 [ph]. So, if you're looking at just deposit costs, that did not include rate increases that we had at end of the second quarter. In terms of betas, we were analyzing betas on those rate increases on deposits. It's about nine to 10 basis points or 100 basis points of Fed increase on non-interest bearing deposits. But if you're looking at total deposits, so it's like six basis points or something. But if you look at back in 2015 when we had our rate increases on deposits, our beta on that time was 21 basis points that time and we're doing -- but mine 10 basis point on this time, so we're doing much better than we did back in 2015 and 2016, 2017.
Brad Milsaps: Okay. Maybe ask differently on the loan side of the equation. Where are you seeing sort of new loan yields coming on the books kind of relative to the average yield?
Tim Timanus: Our average for the quarter was 4.28%. And typically, in loan committee now we're seeing loans from just under 5%, to maybe five and three quarters percent. There's some outliers, there are a few a little lower than that, there are a few a little higher than that. But basically, it's almost 5% to five and three quarters percent.
Brad Milsaps: Okay. Thank you.
Tim Timanus: Some of those are the current loan on variable rate loans and floating loans. So they will go up as rates go up. I'm not talking about just fixed rate loans.
Brad Milsaps: Got it. And then just one more for me. I did notice that you added a small amount of Federal Home Loan Bank advances in the quarter. Was that more just to cover kind of the outflow of public funds, and the plan would be to just pay those off when the public money starts to flow back into the bank, I assume those are just kind of temporary short term overnight advances?
David Zalman: I don't know necessarily that's true. I mean, in the past, again, over the last couple of years, when interest rates were at zero, and we couldn't get at 91% on our investments, we really didn't do that. But if you look before that, we leveraged the bank anywhere between a $1 billion to $2 billion bond in banks. Of the bonds that roll off every year, which you can make a pretty good spread off of that. We never really did more than what we have coming off our existing portfolio. But I think as interest rates stay high, you will probably see us leverage the bank a little bit more, probably with the yield that's out there.
Brad Milsaps: Okay. That was my next question. So I think also that I've mentioned, the bond portfolio staying relatively flat, but it sounds like if you kind of pursue that strategy, that could be another use of capital. Maybe leverage that a little bit to create some spread?
David Zalman: We will, Brad, we will.
Brad Milsaps: Okay. Okay, great. Thank you.
Operator: Our next question will come from Ebrahim Poonawala with Bank of America. You may now go ahead.
Ebrahim Poonawala: Good morning.
David Zalman: Good morning.
Ebrahim Poonawala: I just wanted to follow up on a few things, one on deposits. So, I heard you on the seasonal impact this quarter, and maybe a little bit in 3Q. But just outside of seasonality, how do you expect deposit growth to play out as more customers seek higher rates, net-net. One, talk to us about your assumptions around the mix of moving from non-interest bearing into interest bearing? And where do you see the loan to deposit ratio going from here?
David Zalman: There's a lot of questions. I'll start off. That I mean -- so basically, organically, our deposits normally grew about 2% to 4% every year, excluding the previous two years. So the previous two years, everybody had double digit expansion in organic deposit growth. This year, I think I mentioned earlier, if you exclude the municipal deposits, our deposits were up about 2% year to-date. Normally, I would tell you that we're always going to have that growth of 2% to 4%. It's hard for me to commit my personal feeling, its harder to commit right now. There was so much money in the banks that the stimulus programs provided that people had money in their accounts that they never had before. But they're spending it now. They weren't spending it. They were saving it now. They're spending it. If you asked me my gut. My gut is that I think that we'll end up again, excluding the municipal accounts, I think that your deposits would be -- I think they'll probably be at least flat or up to 4%. I know that sounds crazy, because they're down right now. But just looking at year end historically, that's what, that's happened. But you'd have to deduct some of this money that's in the people's accounts right now. I think that they're using some of that. So let me say 2%. I'll be conservative next. At the end of the year, we'll be up 2% overall from the prior year. That's just my -- that's my thought. But regard to the loan side, I think that, again, to me, and I think that Tim and Kevin have talked before, but our loan growth, it looks really good. And I would tell you, we were -- usually we have a weekly loan committee. And usually we start at 10.30, or through by 2.30, or three, this last week, we started at 9.30, and got through at 5.30, or 6. So we've had some really busy loan committees. If that stuff really develops, we see some really good -- we see good growth. Having said that, we didn't have any growth in the first quarter. So it was flat. So I think we're still sticking to the mid single digit growth for the year.
Kevin Hanigan: I'll just add something from maybe thinking about this from the other side of the fence. I was a guy who ran a bank that had 100% loan to deposit ratio without the warehouse and 114 [ph] loan to deposit ratio with the warehouse. And times like that, when you're growing your loans are, it's tough to fund the beast, you have to pay up to get your deposits. We're in the luxury position with a few other banks with a lower loan to deposit ratio where we have extreme flexibility in times like this, whereas at legacy, I had very little flexibility. If I turned off that loan machine, you're going to lose your lenders. Right? So I had a fun that these every day. I sleep really well at night, knowing that I'm part of this balance sheet, because of the optionality, it provides us in times like this.
David Zalman: Really, if you look at the -- if you look at our growth in deposits, what did you say, Kevin, I really grew $225 million.
Kevin Hanigan: 255 and just non-interest bearing in the quarter. So that's not too bad in an environment where people are worried about deposits outflows. But I think, David's right, some of this -- we've been saying all along, it would take three to four years for the stimulus money to start moving its way out of the system, and we're there, and it's going to move out of the system. But it's a really good time to be running a lower loan to deposit ratio bank, because of the flexibility it gives us in having to fight for and build up deposits just to fund the bank.
David Zalman: I think one thing you may see Abraham is the, in the earlier days before interest rates went to zero, banks like us had maybe 20%, 20% Plus, and their certificates and time deposits were now we're under 10%. I think you may see some of the money that's really been in just a money market account, probably move into the time deposits. And again, I don't know what percentage it is, but it could be some percentage of our deposits. And I would say that, you'll probably see time deposits increase if these rates stay where they're at or go up.
Ebrahim Poonawala: Got it. That's a lot of helpful color. Thank you. And just one follow up. David, you mentioned M&A discussions picked up this quarter versus last. What's the biggest hang up when you talk to potential merger partners or sellers? Is it just a macro uncertainty? Or is it also the regulatory backdrop which has been more impactful on weighing on larger deals? But which of the two is a bigger factor for potential sellers?
David Zalman: Is it a hanger, it's always money. I can be a little bit better than that, though, I can say that is always the first issue. But also I think with bigger banks, their bond portfolios have such big losses in them. And, it's hard for them to recognize it. In a mark-to-market world when you take [Indiscernible] no matter what, even though you get the money back over a period of time, you're losing that money until you can reprice it, and it's hard sometimes for them to try to have some flexibility to try to mitigate with. If you're dealing with a bank that's really smaller in size, and I'm going to say a billion to $3 billion bank in size, and they're usually lent up. It's not that big of an issue. It's more of an issue when you're dealing with a bigger bank really.
Unidentified Analyst: Got it. Thank you, I guess you need to loosen the purse strings a little bit, David, but thanks for taking my questions
Operator: Our next question will come from Dave Rochester with Compass Point. You may now go ahead.
Dave Rochester: Hey, good morning, guys. 
David Zalman: Good morning, David.
Dave Rochester: Just back on the loan growth guide, for the mid single digits you guys are looking forward. Just wondering what you're assuming for the structured CRE book. It's a part of that. How much runoff you're baking in there? And then separately just on the warehouse. I know you talked about moving a client out of the book this quarter. How are you guys feeling about the rest of the book at this point? Where do you see that bottoming out in the current rate environment?
Kevin Hanigan: Yes. I think the warehouse is an easy one for us. Not necessarily easy, but we feel like that is going to average $900 million in Q3, off of the average of 1.256 billion in Q2. So, down quite a bit. We did let a client or two go this quarter, and one of them was a relatively big client. So, we might be down a little bit more than the average warehouse bear because of that, but call it $900 million average for Q3. The structured care book, I mentioned earlier in the loan growth comments that we had $104 million structured CRE deal pay off at the very end of the quarter. It was 178, total for the quarter. So that book of business ended the quarter at $507 million. And I think we've been talking about for the last couple of quarters that we've figured there was about 400-ish million in that book that was sticking. So there's very little runoff left in the book.
Dave Rochester: Okay, great.
Kevin Hanigan: Which would make loan growth a little easier to achieve without the headwinds of that, which we been experiencing now from being 11 quarters?
Dave Rochester: Is it good to get that behind you guys. It's good.
Kevin Hanigan: It's going to be a little easier to grow.
Dave Rochester: Yes. Maybe just one last one, just switching to fee income. Any thoughts on that directionally going forward, as you guys are looking at the back half of the year? And then, are you guys at all thinking about tweaking overdraft, NSF fee policies, anything like that going forward?
David Zalman: We tweaked a little bit. I mean, we did some things like, the maximum that we would charge for the number of overdrafts that you had in any one given day. And we also, we tweak some stuff that if your overdraft wasn't over $5 or something, again, I'm talking, they'll have to verify everything I'm saying. But that the bottom line is, if we wouldn't -- you wouldn't get it, you wouldn't get an overdraft. And so, we've done some of those things. But as far as doing away with overdrafts, I don't see us doing that in the near future. I mean, and the reason I can say that is the number of accounts we're opening, when I'm going into a lobby, sometimes I ask those customers, why they're moving to us, and they're actually moving from a bank that they're giving everything away. So, if we're still getting those customers, and quite frankly, do we want the customers? Do you want a customer that's in the overdraft? Or you're not charging anything for it? I mean, to me, it doesn't make any sense at all. So, there may be some reduction later on. Not that I've seen this in the foreseeable future. But I think we're good where we're at right now.
Kevin Hanigan: Yes. And just overall, big picture, overall in non-interest income, if you look at just -- exclude some one-off items, I mean, that will range around the $35 million, $36 million. So I think that's going to continue. But what we see that there's more usage of debit cards and credit cards, that's going to be beneficial for us. But I mean, is there going to be any significant change in the non interest income? Probably not. I mean, one opportunity we have is we were discussing, maybe potential selling some mortgage loans. If you look back several quarters, I don't know, six, seven quarters, we'll generate 2, 2.5 million from sale of mortgage loans. But we haven't done it, because we're booking those mortgage. As we start continuing to grow our loans, there's opportunity to sell those loans and make some extra money. So there's opportunities there, but I haven't done that yet. But if you look at opportunities there, so it would be a good opportunity on that.
Dave Rochester: Okay, great. Thanks, guys.
Operator: Our next question will come from Gary Tenner with D.A. Davidson. You may now go ahead.
Gary Tenner: Thanks. Good morning. I want to ask about loan, portfolio loan yields. I think in the quarter, X kind of adjustments pretty flat. And I appreciate the commentary on the higher yielding loans now going through committee. But in terms of repricing of the existing portfolio, was there any sort of lagged to be thinking of that kind of held those yields flat in the second quarter that would correct itself here in 3Q?
Kevin Hanigan: Yes, mostly floors. Yes, were two [ph] floors I think in all cases across the board. There might be one or two stragglers. But we broke through the floors and everything. And we've talked about in the past we had a 1% LIBOR floor for all the warehouse clients. So it took a while to break through that. But we're through all the floors now. And the last 75 basis points practice moderately through those floors and whatever happens today is going to -- we get the full impact of. So, we're lagging a little bit, because the vast majority of the portfolio had floored.
Gary Tenner: Okay. And then, on the warehouse and I appreciate the comments, Kevin, in terms of warehouse floors as well. But given the decline in volumes in warehouse nationally, has the pricing competition and that business gotten worse than it's been in terms of having to make more concessions on pricing or did that factor at all into your exiting a couple of those larger relationships?
Kevin Hanigan: It was less pricing and more operational. And it was our team that came out saying, hey, this customer is just not cooperating with some information that we normally would get. They're a little slow on some things, a little maybe, but disconnect on how we would like the back office operations to work with our back office operations. So they came to us and said, we're going to let -- we're going to stop funding for this client. And at the time, that client had $177 million outstanding. That's down to $26 million as of last night. So, at the time, it would have been our single largest client and they felt uncomfortable and who are we to question them. They got unlimited capacity to say no, they just have limited capacity to say yes. So they let that client go. Pricing is still competitive, not as much as I would have thought. But there still is competition. I grabbed some quick numbers this morning of how much? Let's assume that that goes up 75 basis points this afternoon. And our volumes off roughly $300 million, quarter over quarter. What does that hurt us? We picked up a little bit of that hurt by the extra 75 basis points in spreads. So higher weighted average coupon. But if we just remained at a $900 billion business versus 1.257 billion, it would cost us about $5 million a year or 1.2 million a quarter pre tax, a million after tax called a penny.
David Zalman: That if you reinvest that money.
Kevin Hanigan: Right. We put it in something else.
David Zalman: Put it in something else, you would to say that. In fact, that was a real hard deal for me in the past that, we really needed the warehouse loans. Because I mean, if you were getting one and a quarter on an investment you were buying -- you were still getting maybe close to 3% on the warehouse loan. And in today's world, you could probably almost match any rate you're getting on warehouse purchase with an investment.
Kevin Hanigan: You're about 40 basis point different. Now, I didn't factor in that opportunity to reinvest it. So it's -- look, if the team that tells us they're uncomfortable with the client. It's a really good thing. We're all proud of them.
Gary Tenner: Great caller. Thank you.
Operator: Our next question will come from Michael Rose with Raymond James. You may now go ahead.
Michael Rose : Hey, guys, most of questions have been asked and answered. Just, a lot of moving pieces of the balance sheet and rate sensitivity. I think the last disclosure on the plus 100, plus 200 was at December 31. And it was up about 5% and 11%, respectively? Do you have an update to those numbers as of 6.30 [ph]? Thanks.
Tim Timanus: I don't have the exact update on it. But I think, the way we're tracking it might be the same level, a little bit better.
David Zalman: What that would be?
Tim Timanus: Up 100 on the.
David Zalman: Well, I'd say it's better, it's probably quite a bit better. But it's quite a bit better over a period of time. Again, it's not going to happen in three months or six months. I mean, what it really looks -- it really looks really good and a year and it looks really fantastic into here.
Tim Timanus: And I can get back with you and give them the information.
Kevin Hanigan: Yes, it's on our -- it's something we're talking about this afternoon, Michael. And one of the factors is those public disclosures are usually parallel shifts. And we're really not experiencing a parallel shift, right. But the long end of the curve has gone from I don't pretend you're hit maybe three, six for a day or two and we're at 275, 276 today, or pre call. I don't know where it's moved in the last 45 minutes. But we need to look at more of a twist scenario rather than a parallel scenario to be more realistic.
Tim Timanus: And balance sheet shifted differently, what we had at the end of the year.
Kevin Hanigan: But the parallel shift looks pretty spectacular.
David Zalman: Yes. It looks really good. Again, it just takes time. It doesn't happen in half a year or a year. Looks real good to hear. That's fantastic.
Michael Rose : We got it. Thanks for answering my question.
Operator: [Operator Instructions] Our next question will come from John Armstrong with RBC Capital Markets. You may not go ahead.
John Armstrong: Hey, good morning, guys.
Tim Timanus: Good morning.
John Armstrong: Michael Rose just stolen my question. He's a really smart. 
Kevin Hanigan: That's like him, late in the day or late the call, there's one thing left to ask it, he got it.
John Armstrong: Yes, he got it, he got it. But just different way to ask it on the Queen Mary comment. By the way, that parking lot is narrow.
David Zalman: Very narrow, its very narrow.
John Armstrong: Very narrow. When I look at slide eight, and you have that kind of the core net interest margin there, that goes to, it peaks out at 330, 335. And I went way back in my model, and before that it was even higher. And, David, you just alluded to it, 12 months, 18 months out, it's a lot better. It feels like you guys could start punching through some of the highest margins you guys have seen in the last 10 years. Just curious on that? And, you know, we're at mid 3% Fed Funds, where could this margin go over the long term?
David Zalman: I would say that, you're spot on. You watch it for so many years. But yes, I think that, a year down the road or two years, we will probably be breaking some of our net interest margins, no question about it. And that feels good compared to where we were at the lowest. But even if you use something just moderate, I know some of these, you saw back in 2011, 398, 2014, 380. Some of these figures have that blue [ph] to accounting in them too. So it'd be interesting. Which one takes the blue accounting out of it? Does any of them to say, which one the blue? Yes. So if you take the blue to accounting out of it, I think even the 335, 325, 330 looks good. But I think you could do better than that, yes.
Kevin Hanigan: I agree. If you look at the long term, definitely it would be beneficial, but
David Zalman: I don't think you're going to see 398, 380. But being in around 350 range is definitely possible, I think.
Kevin Hanigan: Yes. Assuming the rates stay the same, you never know, because now you're hearing that there might be interest decreases and coming maybe later next year. So that could impact you. But based on what we see right now, assuming everything stays the same that definitely we could get to that point.
John Armstrong: Yes. It's hard to keep track with all the movement in the financial news, I guess. That's helpful. And then, I guess, you alluded to it a little bit earlier. But any changes in the economic outlook that you're seeing and hearing from clients. I mean, obviously, your numbers are very clean, and you've got good growth outlook. But any feedback from clients that maybe is a little less bullish that you've heard recently?
David Zalman: Everybody talks about recession, and I want to be very careful about this. But really, when you look -- I always look at in the state of Texas, they have a city sales tax rebates to the cities where usually your city charges, if you buy something, they charge you anywhere from 7.5% to 10% sales tax. And then the state gives you back, gives back the city 2% of that anywhere, but 2% or some depending on what you're charging on your sales tax. And so, when I look at that, even in the small town that I live in, and I look in Dallas, Austin, Houston throughout the state, we're still seeing double digit growth in sales tax rebates. So people are still spending a lot of money. And so, you, having said that, you are seeing our people are saying that we're seeing, our real estate construction loans, the inventories down a little bit. And people trying to buy houses are down a little bit. But I wouldn't call it a recession, as much as I would call this normalization. I mean, who wants to live with 20% increases in home sales every year. Who wants to live with 8% and 10% inflation. Who wants to wait five months to get a washer dryer? I mean, I think really what we're doing, everything that's happening right now is really just coming back to a normalization. Now you may want to call that a recession, because it's lower than where it had been. But I think we were living in a really unrealistic world where we're with these with 0% interest rates, and the amount of stimulus that was poured into the economy was just, it's unrealistic. So I'd like to say that really, I don't see the recession as much as I've seen more of a normalization out, probably my professor would be taking a great issue with me right there. But I do think it's more of a normalization more than a recession. That's just my gut feeling.
Kevin Hanigan: And I would personally say that I'm not aware of any customers that have told us that they are abandoning projects, or doing something materially different, because they're absolutely convinced there's going to be a big problem. Now, they may be thinking that, but they haven't told us that, that I'm aware of.
David Zalman: And maybe we're naive. But when I look at our loans, I see the consumer may be pulling back a little bit in the housing market and there, but when you look at our commercial loans, they're probably stronger than ever right now, and certainly, as strong.
Asylbek Osmonov: Job growth fuels, a lot of stuff. And we've had a ton of it here in Texas.
David Zalman: Yes. I mean, I think that's the thing about Texas. And so when they talk about recession, that could be maybe more, it's probably more regionalized. But in Texas, when you have so many people that I have a written down somewhere, the amount of -- I think they're anticipating the Feds, anticipating about 595,000 jobs for this year. I think we're at about 381,000 so far. And so, they are looking at that. But the amount of people moving into the state of Texas, the number of companies that are moving into the state of Texas, so maybe when you talk nationally are more regionalized. It's more regionalized. But I think Texas and Oklahoma still has a whole lot going for it right now just because of the people moving the job growth and everything else that we have. I don't know if that helps you, but I think right there.
John Armstrong: Appreciate it. Thanks for all the color.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Charlotte Lachey for any closing remarks.
Charlotte Rasche: Thank you. Thank you ladies and gentlemen for taking the time to participate in our call today. We appreciate your support of our company and we will continue to work on building shareholder value.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect